Operator: Ladies and gentlemen, thank you for standing by. My name is Desiree, and I will be your conference operator today. At this time, I would like to welcome everyone to RxSight, Inc. fourth quarter 2024 earnings conference call. Lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. Press the star one. I would now like to turn the conference over to Oliver Moravcevic, Vice President, Investor Relations. You may begin.
Oliver Moravcevic: Thank you, operator. Presenting today are RxSight, Inc. President and Chief Executive Officer, Dr. Ron Kurtz, and Chief Financial Officer, Shelley Thunen. Earlier today, RxSight, Inc. released financial results for the three months ended December 31, 2024. A copy of the press release is available on the company's website. Before we begin, I would like to inform you that comments and responses to questions during today's call reflect management's views as of today, February 25, 2025, and will include forward-looking and opinion statements, including predictions, estimates, plans, expectations, and other information. Actual results may differ materially from those expressed or implied as a result of certain risks and uncertainties. These risks and uncertainties are more fully described in our press release issued today and in our filings with the Securities and Exchange Commission, or SEC. Our SEC filings can be found on our website or the SEC's website. Investors are cautioned not to place undue reliance on forward-looking statements, and we disclaim any obligation to update or revise these forward-looking statements except as may be required by law. We will also discuss certain non-GAAP financial measures. Disclosures regarding non-GAAP financial measures, including reconciliations with the most comparable GAAP measures, can be found in the press release. With that, I will turn the call over to our President and Chief Executive Officer, Dr. Ron Kurtz. Ron?
Ron Kurtz: Good afternoon and thank you for joining us. In a moment, Shelley will review the fourth quarter and full year 2024 financial results, highlighting the key drivers of our performance. Following Shelley's review, I'll provide an update on the continued success of the RxSight, Inc. system, our role in shaping the premium cataract market, and the major developments that are setting the stage for our next phase of growth. With that, I'll turn the call over to Shelley.
Shelley Thunen: Thank you, Ron, and good afternoon, everyone. Consistent with our January preannouncement, RxSight, Inc. reported fourth quarter 2024 revenue of $40.2 million, up 41% compared to the year-ago quarter. Growth was broad-based, driven by strong growth in LAL procedure volume and the continued expansion of our installed base of LDDs. The positive momentum we saw throughout 2024 remains fueled by surgeons' increasing appreciation of the clinical advantage and economic value of the RxSight, Inc. system, particularly the benefits of postoperative adjustability. LAL sales maintained strong growth in the fourth quarter of 2024, reflecting the increased preference amongst surgeons and patients for the enhanced clinical outcomes offered by our adjustable IOLs. We sold a record of 29,069 LALs in the period, up 61% from the fourth quarter of 2023. These procedure volumes translated into LAL revenue of $28.5 million in the fourth quarter of 2024, up 60% compared to the year-ago quarter. In the fourth quarter of 2024, we sold 83 LEDs and generated $10.7 million in LDD revenue. We ended 2024 with an LDD installed base of 971 units, up 46% compared to the 666 units installed at the end of 2023. Higher LAL volume in the fourth quarter also led to an increased LAL revenue mix, with LAL revenue accounting for 71% of total revenue, up from 62% in the fourth quarter of 2023. This shift in mix, combined with LED sales with a lower manufacturing cost and higher average selling price, expanded our gross margin to 71.6% in the fourth quarter of 2024, up from 61.8% in the fourth quarter of 2023. Fourth quarter 2024 SG&A expenses were $28.2 million, up 33% versus the prior year period. This year-over-year increase in SG&A was primarily associated with increased expenses in sales and clinical personnel costs to support our growing installed base. On a sequential basis, SG&A was up 10%, primarily due to increases in headcount and expenses related to higher sales volumes achieved in the fourth quarter. Research and development expenses for the fourth quarter of 2024 were $9.2 million, representing an increase of 25% year-over-year. The change versus the year-ago period was primarily due to increased facility costs and associated increases in salaries and stock-based compensation. On a sequential basis, R&D expense remained relatively stable, with a 4% increase compared to the third quarter of 2024. We reported a net loss in the fourth quarter of 2024 of $5.9 million, or a loss of $0.15 per basic and diluted share, using weighted average shares outstanding of 40.4 million shares. In the year-ago quarter, our net loss was $9.2 million, or $0.26 per share on a basic and diluted basis, using a weighted average of 36 million shares. Note also that stock-based compensation in the fourth quarter of 2024 was $7.3 million, resulting in adjusted net income of $1.3 million, or $0.03 per basic and diluted share. In the interest of time, I'll provide a brief recap of full-year 2024 results. During the year, revenue grew 57% to $139.9 million, driven by a 78% increase in LAL revenue and a 24% increase in LDD revenue. Our full-year 2024 gross profit margin was 70.7% compared to 60.4% in 2023. Total operating expenses were $135.8 million in 2024, an increase of 31% compared to 2023. For the full year 2024, we reported a net loss of $27.5 million, or $0.71 versus a net loss of $48.6 million, or $1.41 per share on a basic and diluted basis in 2023. Excluding the $24.6 million in stock-based compensation expense, our net loss in 2024 was $2.8 million, or $0.07 per basic and diluted share. Moving to the balance sheet, we ended the year with no debt and $237.2 million in cash, cash equivalents, and short-term investments. During 2024, we raised $107.5 million net of fees and expenses from our confidentially marketed public offering. Turning to 2025 guidance, we are reaffirming the guidance we provided in January as we continue to expect 2025 full-year revenue to range between $185 million to $197 million, representing year-over-year growth of 32% to 41%. Throughout the year, we expect typical seasonality with the first and third quarters seasonally weaker, while the second and fourth quarters are expected to be seasonally stronger. Revenue contribution outside of North America is expected to remain nominal in 2025, with a more meaningful impact anticipated in 2026 and beyond. We expect our full-year 2025 gross margin to be in the range of 71% to 73%, reflecting a continued increase in revenue mix from the higher margin LAL procedure volume. We continue to expect operating expenses to be between $165 million and $170 million, which represents an increase of 22% to 25% over the prior year and reflects ongoing investments in sales and marketing, research and development, to achieve projected revenue increases in 2025 and the years beyond. Investments are primarily in personnel, with the largest expected increase similar to 2024 headcount increases in our team, which now numbers a bit over 200. With a focus on sales, education, installation, training, and clinical. Included in our costs, primarily in operating expenses, is non-cash stock-based compensation expense of approximately $22 million to $25 million. With that, I'll turn the call back to Ron.
Ron Kurtz: Thank you, Shelley. We believe that RxSight, Inc.'s strong 2024 performance underscores the growing impact our proprietary adjustable IOL technology has had on the US premium IOL market during the last several years. As indicated in our 2025 guidance, we believe RxSight, Inc. can durably grow as the power of adjustability becomes more widely recognized and accessible to doctors and patients through traditional and innovative adoption models both in the U.S. and other key established premium IOL markets. Since RxSight, Inc. went public and began scaling its US commercial team in Q3 2021, the new adjust approximately 10% of the overall US premium IOL market on a procedure volume basis through Q4 2024, with an even greater impact in revenue terms. In fact, in 2024, we believe that adjustable premium IOLs accounted for nearly half of the overall growth of premium IOLs in the U.S., which may help explain the perceived stagnation in some legacy non-adjustable premium IOLs at the industry level. Our 2024 customer survey reinforced previous findings and KOL commentaries that approximately three-quarters of LAL cases come from the conversion of monofocal and toric IOL patients. As a result, practices that adopted our technology are estimated to have increased overall U.S. practice-level premium revenue by approximately 10%, with even larger potential impact on their individual practices. Doctors and practices increasingly recognize the importance of this expanding and durable revenue source, as they face the dual challenges of demographically driven reimbursement declines and cyclically sensitive patient pay procedures like LASIK. In this environment, the growth of high-margin private pay LAL procedures that appeal to a more financially secure demographic will likely become even more critical to the financial sustainability of eye care providers in coming years. With about 1,500 of the approximately 10,000 US cataract surgeons trained on our technology, we anticipate a long runway for continued LEDD placements in offices serving cataract patients. Additionally, the growth of novel business models offering all is expected to further expand access to adjustability for both surgeons and their patients. Delivering consistent high-quality outcomes across doctors, practices, and geographies is essential for long-term adoption and growth. We believe RxSight, Inc.'s expanding set of clinical data validates the unique ability of our technology to meet this standard. For example, our recently completed FDA post-approval study, which utilized the latest iteration of RxSight, Inc. technology, demonstrated that the odds of achieving very low levels of both residual sphere and cylinder with the LAL were more than 14 times that of a monofocal IOL in eyes with modest preoperative corneal astigmatism. This level of refractive precision also translated into more than a four times increase in the odds of achieving in These FDA study results further validate observations from real-world registry data showing that both AL and LAL plus patients achieved similarly excellent refractive and visual outcomes, thereby enabling doctors to customize their patient's binocular vision to meet and exceed their specific visual goals. As we progress towards regulatory approvals in key markets in Asia and Europe, demonstrating that local doctors can replicate these outcomes is essential. A recent publication documenting LAL clinical results in a cohort of Japanese patients, which was also highly consistent with US data, exemplifies the efforts we will continue to pursue as we expand into new markets. Additionally, our previously announced approval of an extended range of diopter powers for the LL plus will likely have crossover relevance for the growing population of cataract patients in multiple countries with high degrees of myopia, including many who have previously undergone corneal refractive procedures. We are also pleased to announce that we received FDA approval for an additional LDD functionality that builds on our clinical experience with aspheric optics. Scheduled for release in the second half of 2025, this enhancement will allow doctors to customize the asphericity of the LAL, something previously only possible through preoperative selection of a specific fixed IOL. While relatively modest in its initial capabilities, we believe this advancement opens the door for even higher levels of customization in cataract surgery, similar to advances seen in corneal refractive surgery over the past 20 years. In summary, we believe that RxSight, Inc.'s adjusted offering, the only IOL that allows postoperative vision customization. With this strong foundation in place, we are now focused on expanding access, accelerating adoption, and driving new innovations. This next phase of growth will be fueled by the continued partnership and our insightful clinical partners worldwide. With momentum on our side, a clear strategic roadmap, and a growing community of passionate adopters, we believe RxSight, Inc. is well-positioned for continued success. We look forward to updating you on our progress throughout the year. And with that, I'll ask our operator to open the call for questions.
Operator: Thank you. We will now begin the question and answer session. If you have dialed in and would like to ask a question, please press star one on your telephone keypad to raise your hand and join the queue. If you are called upon to ask your question and are listening via speakerphone on your device, please pick up your handset to ensure that your phone is not on mute when asking your question. Again, press star one to join the queue.
Ron Kurtz: And we'll take our first question.
Operator: Comes from the line of Robbie Marcus with JPMorgan. Your line is open.
Lilia Lozada: Hi. This is Lilia Lozada on for Robbie Marcus. Thank you so much for taking the question. Maybe we could start with LAL utilization and some of the trends that you've been seeing there lately. How do you think about utilization continuing to grow in 2025 now that we're sort of beyond the early adopter phase? And how would you say that utilization varies at some of your mature accounts versus your newer ones?
Ron Kurtz: Okay. Good. Yeah. That's always been a subject of conversation as it's an output of two numbers, the installed base of LEDs at the end of the previous quarter and then the number of LALs implanted in the current quarter. And that results in the number of LALs per LDD. So it's another measure that the public can look at. In the second quarter, it was 11 LALs per LDD in the third quarter. It was down a bit around 8.7 and then back up again at 10.9 in the fourth quarter. So it's somewhat affected by the amount of newer LDDs we have in our mix as well as just overall growth in our premium IOL market in 2024 came from the almost 100,000 LALs implanted in 2024. So it is a measure that overall we expect to grow, but it can fluctuate. You know, it can fluctuate on seasonality. It can fluctuate a little bit if we have a very, very strong quarter, the previous quarter for LDD sales. But what I would say about this is that what we see when we look at our cohorts of LDD installs in 2021 and prior, 2022 and 2023. 2024 is a little too early to look out because it takes about a year for an account to get to roughly the same number that the previous cohorts get in aggregate. What we've always seen is that that is continued to grow. Right? And so all of the cohorts end up in row in just about the same place of number of LALs per LDD. And that's been very consistent as we've been looking at this for the last couple of years. Of course, the class of 2023 got to those same numbers a little faster, obviously, than the classes of 2021 and 2022. And we expect that number to continue to be consistent. That being said, however, the distribution of how it accounts act individually is obviously different. Sometimes we have very small accounts that don't do a lot of premium, but you know, they use the LAL for the vast majority of their premium IOL cases. Other times, we're relatively new in account, and they're still ramping up their LAL volume. So I think it's across the board. But even though these cohorts are relatively small, they seem to be acting consistently, and we don't see a ceiling in a cohort. And we sometimes get that question. They all seem to be growing as well. And we would expect the number to continue to grow, but it might be variable quarter by four. Did you add anything, Ron?
Ron Kurtz: No. I would just reiterate that that's an output. It's, you know, not a key focus. Our key focus is obviously driving more LALs, and that can be accomplished obviously through driving more LDDs, but also increasing adoption within the account.
Lilia Lozada: Thank you.
Ron Kurtz: Got it.
Operator: And our next question comes from the line of Ryan Zimmerman with BTIG. Your line is open.
Ryan Zimmerman: Thank you for taking the questions and congrats on your progress this year. I guess Ron, I was struck by the comments about the isobaric IOL. It's very interesting to hear about. Obviously, new information. You know, as I think about those that may have an aspheric IOL need, would you say that those are younger, potentially myopic patients? I'm just curious kind of how to think about the initial sizing of that opportunity. You know, and when it may come to fruition.
Ron Kurtz: So I would clarify that both the LAL and the LAL plus are already aspheric lenses, but the additional LDD functionality gives doctors the ability to actively modify that level of asphericity. And there are clinical situations where that's advantageous, different patient populations that may have more or less need for asphericity or benefit from asphericity, and that's really up to the physician.
Ryan Zimmerman: Okay. You know, in the pre-announcement, you had called us out. I think you called out today too, the 15% of the potential physician base is trained right now on LDD. And I think you make that point just to show that there's sufficient runway ahead, and I'm wondering if you can reflect on who the buyers are today versus a year ago and the pace at which you would expect that adoption to continue to grow in 2025 and beyond.
Ron Kurtz: Well, I think they're probably more alike than different. You know, people, ophthalmologists, and practices have different reasons for adopting at different times. And, you know, really, I think that we have a broad spectrum of practices that have our technology now, and we have a broad spectrum of practices that are still not yet adopted, but hopefully will soon. So I don't necessarily think that it's a particular type of practice. We really see a cross-section, and it comes down to does that individual practice or doctor want to adopt the technology, and that decision can be based on a lot of different factors. It can be based on technology advancements like we've had recently with LAL plus and the low diopter powers and now with the aspheric functionality. And that's an important way that we continue to drive adoption is to give the next group of doctors and practices a reason to adopt, also a reason for our teams to interact with practices that may already have our technology and may be considering how they want to expand their use of our technology in their practices. So, again, I think we're at such early innings that there's a lot of different types of practices that we're still reaching into.
Ryan Zimmerman: Very helpful. Thank you for taking the question.
Ron Kurtz: Thank you, Ryan.
Operator: And our next question comes from the line of Steven Lichtman with Oppenheimer. Your line is open.
Steven Lichtman: Thank you. Good evening, guys. Just wanted to piggyback on the LDD enhancement, Ron. You mentioned opening the door to even more customization. Can you expand on that? What further advancements could we see as a result of this with the platform as you look out over the next few years?
Ron Kurtz: Well, I would maybe not comment directly on that, but I think you can, you know, the folks in the ophthalmic community can look to corneal refractive surgery as an analogy where, you know, initially, when excimer lasers were approved, they were focused on the correction of the so-called lower-order optical aberrations of sphere and cylinder, and over time, that expanded to other corrections. Now, of course, the sphere and cylinder are always the primary focus because they're the largest, but there are discrete needs and benefits to being able to address other the lower orders the higher orders as well. And that's a there's always, you know, that's a there may be additional requirements, but this is, again, a first step in that direction in cataract surgery that I'm aware of.
Steven Lichtman: Great. Thanks, Ron. And then just in terms of the growth investment you're making this year on the OpEx side, can you talk about the growth investments you're seeing the growth in terms of the give us an update on where the main areas of focus are as it relates to the commercial organization, marketing, some of the optometrists work?
Ron Kurtz: Do you wanna start there, Ron?
Ron Kurtz: Yes. Sure. I would just comment that it's all of the above. You know, we are always focused on providing the highest level of clinical training and support and overall field support. So we continue to add that as our customer base grows. As I mentioned before, a key element of expanding our adoption is education, not only within our practices but also to the wider community of eye care providers, which obviously includes as a big part is optometry. And we have expanded our efforts in that space both by attending both national but also regional meetings and providing additional support for our practices to be able to educate their, you know, their local optometrists. So I think those all are important. I don't know if you wanna add anything, Shelley.
Shelley Thunen: No. I would just add something else. If you look at SG&A, the sales and marketing portion, of course, is primarily people and travel. And, you know, we've expanded our commercial organization from about ten to a bit over 200 in the years since we've gone public as well. That's to support not only new customers but also existing customers. And the great part about the R&D roadmap that Ron lays out is that when our clinical people go in, and our account managers go in, they usually have something new to offer. It might be a software upgrade. It might be additional training. And so each of those are value-added, and that adds up to our goal to get more fully penetrated in each one of those accounts. And, of course, you know, our goal remains to become 50% or greater of the total premium IOL market, first in the US and then globally.
Steven Lichtman: Great. Thanks for the color.
Ron Kurtz: Thank you, Steven.
Operator: Next question comes from the line of David Saxon with Needham. Your line is open.
David Saxon: Great. Good afternoon, Ron and Shelley. Thanks for my questions and congrats on the quarter. I wanted to ask about top-line guidance and specifically about the cadence. Shelley, I heard kind of the comments about the first and third quarters being the weakest, but I wanted to kind of drill down on the first quarter sequential trends. You know, last year, you grew sequentially in the first quarter. Obviously, you've been seeing more of an impact with seasonality. So, you know, given we're kind of a little over halfway through the quarter, you know, level expectations for sequential growth or, you know, decline in the first quarter relative to the fourth quarter?
Shelley Thunen: Yeah. It's always such a good question. And last year, seasonality kind of surprised us, and it's the first time in at least my thirty-plus years selling, you know, being a CFO for a razor-razor blade company, that the first half was seasonally stronger than the second half. And in particular, last year, we had a very strong seasonal Q1 and Q2 coming on top of that. I guess, Nana one doesn't yet convince me that normal seasonality will prevail, which means that, you know, we're a bit larger. It's much harder to grow, you know, sequentially each and every quarter. As our numbers have gotten larger and, of course, we had a great fourth quarter as well. So while I don't give specifics in the first quarter, I expect that that will be, you know, a seasonally weaker quarter. Same and third quarter again due to vacation and second and fourth is strongest quarters during the year.
David Saxon: Okay. Very clear. Appreciate that color. And then, you know, in the script, you talked about, I think, 75% of LAL patients coming from monofocal and toric. You know, acknowledging, you know, that's a large number. I wanted to ask on some of these premium want competitive launches couple recent, one upcoming kind of. Have you seen any impact from, you know, competitive trialing and then with one coming up in a couple of months, kind of the expectations there, and, you know, anything material baked into that guidance. Thanks so much.
Ron Kurtz: Maybe I'll take that at a high level, David. You know, obviously, when you get to, you know, even the percentage that we're of the market, approximately 10%, it's large enough to be impacted by, you know, by competition, even if it's not direct competition directed towards us. So I wouldn't be surprised if there's some impact. But I think it's gonna be predominantly focused on, you know, other similar technologies in the, you know, presbyopia correcting space. Anything to add there?
David Saxon: Great. Thank you.
Ron Kurtz: Thank you.
Operator: Next question comes from the line of Larry Biegelsen with Wells Fargo. Your line is open.
Lei Huang: Hi. Thanks. It's Lei Huang calling in for Larry Biegelsen. Thanks for taking the question. I want to start with the 2025 guidance. As you think about the year, you just talked about the revenue cadence and the seasonality. How should we think about the spending and then LDD versus LAL mix? Anything you can call or two on that, and I have a follow-up.
Shelley Thunen: Okay. Great. Thank you very much, Lei. You know, we have said when asked directly and we said it publicly, you know, do we expect LDD numbers sold to be higher than 2024. We said yes. And while we don't, you know, break out our revenue guidance by the two components of our product, LAL, like last year and the year before, is expected to grow faster and continue to become a more predominant portion of our revenue. Of course, we never hold back LDD sales to manage gross margin. But naturally, through that, you're gonna have margin expansion, and mix will determine the margin in each quarter. As well. And I think last year, we got a lot of cost savings out of the LDD. This year, it's primarily driven by mix, and, you know, more minor kind of cost savings both at the LDD, quite minor, as well as on the LAL.
Lei Huang: Great. That's helpful. And then my follow-up is just on R&D. So we estimate that you'll spend about $40 million or so on R&D this year. Can you just talk a little bit more about where are you allocating those dollars? That is where do you see opportunities for further innovation. Thank you.
Ron Kurtz: Well, I would just say that, you know, as we're early innings in the commercial launch in the U.S., in SIPI, we're in early innings for this technology. And we've got, you know, many, many years of advancements that will continue to benefit our customers, and we have the unique ability to continue to upgrade our technology in the field to provide really many years of benefits from their investments, both in terms of the cost of the LDD, but also their intellectual investments in the technology. So I wouldn't, you know, I don't think that there's any one thing that I would call out, but we're, you know, we're focused on continuing to drive innovation for this technology for many years to come.
Lei Huang: Thank you.
Operator: We have another question from Daniel Antalfi with UBS. Your line is open.
Daniel Antalfi: Hey. Good afternoon, guys. Thanks so much for taking the question. Shelley, this is probably a question for you. Just thinking about the margin cadence here, gross margin cadence as we go through specifically 2025, but also, you know, in the out years as much as you can help put out guideposts for us. You know, as the LAL becomes a bigger piece of the mix here, how do we think how should we think about margin cadence and the upside opportunity there? And then I have one quick follow-up.
Shelley Thunen: Okay. Great. You know, you've seen tremendous, you know, margin expansion in the last year of 2024. It was a hundred basis points. So pretty terrific as well. You won't see that kind of big jump, you know, that came in 2024. I'm, you know, from pretty significant cost savings on the newer LDD, same functionality where we took out some costs as well as continued volume increases in the LAL. But I think you should see a regular cadence of gross margin expansion. Might vary a little in a quarter depending on the number of LDDs we sell as a percent. If you had a very strong LDD quarter, it might be a little lower than, you know, it would have been otherwise. But I think you'll see consistent cadence in margin improvements. As I look at the company going way, way out, you know, the LAL would be dominant, but we've still got a pretty big world to conquer on LDD sales and growing LAL sales. So, you know, the company could be an 80% plus gross margins company, and I think that we'll continue to advance through that year over year. But I would never want to hold back sales of LDDs. But, you know, at real maturity, I could see it 80% plastic.
Daniel Antalfi: Gotcha. Okay. That's helpful. And then wanted to follow-up on a comment Ron made in the prepared remarks around, you know, your centers that are figuring out business models or ways to, you know, unique ways to work this into their workflow. In a way that's sufficient and will have you to I guess the question here is how much are you seeing that be replicated and are you seeing other centers implement that? Is there something unique about those centers that enables them to implement those models, or is that something that you expect to ultimately be replicated and implemented across your centers? Thanks so much.
Ron Kurtz: Yeah. I think that I just to clarify, it's not necessarily a new phenomenon. We've had LDD-focused treatment centers, whether they're informal based on an individual practitioner or more formal, but, you know, we do see more interest in that space. I think it's analogous to, again, what happened previously both with ambulatory surgery centers and with LASIK centers. And, you know, it's not surprising that this would occur as adjustability becomes a bigger part of the premium cataract space. And net-net, we think it's a positive in that it can give additional access to both doctors and patients.
Daniel Antalfi: Thank you so much.
Ron Kurtz: Thank you.
Operator: And our last question comes from the line of Thomas Stephan with Stifel. Your line is open.
Thomas Stephan: Great. Hey, guys. Thanks for the questions. I'll start with the pipeline and I guess, Ron, just thinking specifically about LAL advancements, can you kind of elaborate on what this entails in terms of I guess, I'll call it the nature of the advancements. I know you mentioned early innings and upgrading technology in the field. I mean, should we think about this as sort of improvements and upgrades, like active shield, for example, or do we maybe think about new lenses on the horizon altogether like LAL plus as an example? I hit the follow-up.
Ron Kurtz: Yeah. I would say it's all of the above. You know, if you look back at the advancements that we've done, some of them are to the optics, some of them are to other functionality of the lens, and some of them are, you know, functionality or usability characteristics of the ancillary products like the light delivery device or our injector tools. So it's really all of the above, and we try to respond to the requests of our customer base who we are very close with, and collaborate with them to bring them those things that are going to be beneficial, maybe not to a large number of patients, but to, you know, beneficial enough that it's a reason for them to continue to expand their offerings of the LAL or some derivative.
Thomas Stephan: That's great color. Thanks, Ron. Appreciate that. And then, Shelley, my second question maybe for you, just on guidance. You know, I think it may very roughly imply that LAL utilization remains in the high single-digit range, which is I think, where you exited in the fourth quarter of 2024, although that was a bit of a deceleration from 3Q 2024 year-over-year growth. So I guess my question is, what gives you the confidence that utilization can at least hold steady in this high single-digit year-over-year percent growth range? And then maybe what's your level of conviction that utilization actually could reaccelerate throughout 2025? Thanks.
Shelley Thunen: Well, I think the most important metric for us is the absolute number of LALs that are implanted, and I think that's the number one metric. Right? And certainly, we think as an outgrowth of that, that number of LALs per LDD is something that will continue to grow, although it might be variable quarter to quarter. And if we think about going back in the past, when you're very small, you know, it's just the law of larger and small numbers. Right? And so as long as we continue to have steady growth consistent with our expectation of revenue, I think we're quite happy.
Thomas Stephan: Super helpful. Thanks, Shelley.
Operator: That concludes the question and answer session. I would like to turn the call back over to our CEO, Ron Kurtz, for closing remarks.
Ron Kurtz: Great. Well, thank you all for your interest in RxSight, Inc., and we look forward to updating you on our progress in the future. Goodbye.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.